Operator: Thank you for standing by, and welcome to the Kinross Gold third quarter 2023 results conference call and webcast. I would now like to welcome Chris Lichtenheldt, Vice President of Investor Relations, to begin the call. Chris, over to you.
Chris Lichtenheldt: Thank you and good morning. With us today, we have Paul Rollinson, President and CEO, and from the Kinross senior leadership team, Andrea Freeborough, Claude Schimper, Will Dunford, and Geoff Gold.  For a complete discussion of the risks and uncertainties which may lead to actual results differing from estimates contained in our forward-looking information, please refer to Page 2 of this presentation, our news release dated November 8, 2023, the MD&A for the period ended September 30, 2023, and our most recently filed AIF, all of which are available on our website. I will now turn the call over to Paul.
Paul Rollinson: Thanks, Chris, and thank you all for joining us. This morning, I'll provide an overview of our third quarter and update you on our ESG initiatives. I will then hand the call over to Andrea to discuss financial performance, Claude to highlight our operating performance, and Will to discuss our projects.  Our operations continue to deliver strong performance in the third quarter, and we remained well positioned to meet our full-year guidance. Our focus on delivering on our targets continues to drive strong results. By the end of Q3, we had produced just over three quarters of our full-year production at cost, and are tracking in the lower half of our guidance range. Our business is performing well, and we generated strong cashflow. In the first nine months, we generated nearly $1.2 billion of operating cashflow, and after reinvesting in our operations and project pipeline, we generated over $400 million of free cashflow. With respect to our operations, in the third quarter, Tasiast, Paracatu, and La Coipa, all continued to deliver excellent results, accounting for approximately 70% of our production, with an attractive AISC of just over $1,000 per ounce. Tasiast had a record production quarter, producing 171,000 ounces, was once again our highest cashflow operation. Paracatu also performed well in the third quarter, and as planned, had its highest production quarter of the year. La Coipa was once again our lowest cost operation and also generated strong cashflow.  Switching to the US, our operations performed well, with production at each site higher than the prior quarter. Fort Knox had a strong production quarter, while also making mill modifications to accommodate a higher-grade (bench OR). We recently celebrated the commencement of mining activity in a groundbreaking ceremony with the local Native Village of Tetlin, and the Governor of Alaska. Manh Choh remains on budget and on schedule to begin contributing ore to Fort Knox in the second half of next year. At Round Mountain, work has progressed on several fronts. As outlined in our release, we are pleased to report that we have now approved Phase S, making the future at Round Mountain more clear. Our plan is to progress from the current Phase W to Phase S, which is the next phase of open pit mining. These two phases will take production at Round until the end of the decade. In addition to Phase S, we also see potential to add higher grade underground ore, first from Phase X, and later from Gold Hill. You'll hear more on this later from Will.  At Great Bear, we continued to make strong progress in the third quarter. Resource definition drilling is ongoing, with 11 rigs currently operating on site. We are seeing excellent results from our directional drilling program, which is allowing us to increase our underground resources more cost effectively. As I noted last quarter, we are expecting a meaningful increase to the LP underground resource as part of our year-end update. Additionally, directional drilling and other areas of mineralization are also showing promising signs of growth, in particular at the Hinge Zone, located adjacent to the main LP Zone. A recent high-grade intercept returned 2.8 meters true width, with grades of approximately 260 grams per ton at a vertical depth of 870 meters. At the Great Bear Project, we have both a provincial and federal permitting process. In the third quarter, we continue to progress studies and provincial permitting for the advanced exploration decline, which is what we refer to as the AEX. With respect to the main project, we progress permitting with IAAC, Impact Assessment Agency of Canada, on federal matters. We are continuing our work on environmental baseline studies applicable to the main project, as well as indigenous consultations. We also continue to advance technical studies, including engineering and field test work. We plan to provide an update on this work in the form of a preliminary economic assessment, or PEA, in the second half of next year. I'd like now to switch gears and highlight some of our latest work at ESG. In the third quarter, we advanced our ESG efforts across three main areas. Number one, we completed a comprehensive review of our community management system, leading to the development of a new social performance management system for implementation at all of our operations. Two, we advanced our natural capital strategy focused on land use, water management, biodiversity, air quality, waste management, and reclamation. And three, we continue to deliver on our climate strategy. Construction of our 34-megawatt solar facility at Tasiast is nearly complete. For context, 34 megawatts of clean energy will reduce our carbon emissions by over a half a million tons over the current life of mine. This project is one of the key contributors to achieve our 2030 emissions reduction goal.  So, to recap, with strong year-to-date performance, we are well positioned to meet our guidance. With our projects at Tasiast and La Coipa complete, we look forward to these assets continuing to generate strong cashflows. Our financial position has strengthened as we have continued to repay debt. We continue to return capital through a competitive dividend, and we are advancing the next round of projects that will contribute to our future.  With that, I will now turn the call over to Andrea.
Andrea Freeborough: Thanks, Paul. I'll discuss financial highlights from the quarter, provide an overview of our balance sheet, and comment on our guidance and outlook. As Paul noted, our strong performance continued in the quarter, with production on track for 2.1 million ounces, and costs tracking in the lower half of our guidance range. In Q3, we produced 585,000 ounces, anchored by strong production from our two top tier assets, Tasiast and Paracatu, continued solid performance at La Coipa, and increased production over the prior quarter at each of our US sites. Gold sales of 571,000 ounces were slightly above production due to timing of sales. In Q3, our average realized gold price was $1,929 per ounce, in line with the average spot gold price. Cost of sales of $911 per ounce in Q3 was relatively stable with the prior quarter. Cost of sales at Tasiast, Paracatu, and La Coipa, averaged $735 per ounce, once again underpinning strong performance and free cashflow. Margins were strong in Q3 at $1,018 per ounce sold. All-in sustaining costs were $1,296 per ounce in Q3, which was in line with the prior quarter. Year-to-date cost of sales of $931 per ounce, were below the midpoint of our full-year cost guidance range. Costs are expected to increase in the fourth quarter, primarily due to lower expected grades at Paracatu as a result of planned mine sequencing. For 2023 as a whole, we now expect to finish the year in the lower half of our guidance range, so below $970 per ounce. In Q3, our adjusted earnings per share was $0.12, and adjusted operating cashflow per share was $0.38. Attributable CapEx in the third quarter was $272 million. We remain on track for our full-year guidance, but we do expect to finish the year towards the top end of our range. Free cashflow for the quarter as $123 million, or $187 million excluding working capital changes, and over $400 million for the nine-month period.  Turning to the balance sheet, our financial position remains strong in the third quarter as we continue to delever. We ended the quarter with $465 million in cash, and approximately $2 billion of total liquidity. Our net debt declined during the quarter, as we paid $50 million of the $100 million outstanding on the revolving credit facility. Subsequent to quarter-end, we repaid the remaining $50 million balance. Our 12-month net debt to EBITDA ratio continued to trend lower, as we finished the quarter at 1.1 times. As mentioned, following the nine-month results and a good start to Q4, we're in a strong position to achieve our guidance.  I'll now turn the call over to Claude to discuss our operations.
Claude Schimper: Thank you, Andrea. I would first like to begin by discussing the significant progress our team has made on our journey to a more progressive, people-centric health and safety philosophy in the last year. All our employees and business partners play a major role in shaping how we operate safely across our operations. Our homegrown safety excellence program stands out for its genuine bottom-up approach, leveraging the collective experience of employees to foster a culture of ownership, collaboration, and shared purpose. This has begun to influence how we operate, and safety excellence is an integral piece of our operational excellence approach. Now moving on to Q3 and our operations. As Paul said, we are well on track to meet our annual guidance. Our expansion projects at Tasiast and La Coipa are complete, and all our mines are performing as planned. Tasiast delivered record quarterly production of 171,000 ounces, and a cost of sales of $666 per ounce, benefiting from strong throughput and strong grades and recoveries, as we continued mining in the higher-grade section of West Branch 4. We remain on track to achieve our full-year production guidance in the range of 610,000 ounces, at a cost of sales of $680 per ounce. Construction at the solar power plant is nearly complete, and we are on plan for first power to the grid by year-end. Installation of the photovoltaic panels, inverters, and transformer stations, are now complete, and the battery system installation is well progressed. Electrical works and the completion of the grid connection are continuing, with pre-commissioning testing underway. Paracatu had a strong quarter, producing 172,000 ounces at a cost of sales of $845 per ounce. As indicated, fourth quarter production at Paracatu is expected to be lower, and costs slightly higher due to the location of mining in the pit. We remain on track to achieve our full-year production guidance in the range of 580,000 ounces at a cost of sales of $890 per ounce. At La Coipa, strong operating performance continued during Q3, driven by strong grades in recoveries. La Coipa was the lowest cost mine in our portfolio in Q3, producing 66,000 ounces at a cost of sales of $629 per ounce, and contributing strong free cashflow. We remain on track to meet our full-year production guidance in the range of 240,000 ounces, and costs are tracking below our guidance.  Now, moving to the US operations, production improved over the prior quarter at each of our sites, while costs remain in line. We remain on track to achieve our full-year guidance range of 670,000 ounces at a cost of sales of $1,370 per ounce. Beginning with the Fort Knox operations, Q3 production of approximately 72,000 ounces was slightly higher quarter-over-quarter. At Manh Choh, activities remain on schedule and on budget, and we are on track for initial production in the second half of next year. Construction is now 90% complete, with commissioning activities well underway, as well as the preparation to transition the project to operations. Construction on the mill modifications at Fort Knox to process Manh Choh ore is progressing on plan, with all the concrete works now completed, and work now progressing primarily inside the mill on tanks and piping components. Further work is scheduled to take place over the next several months per plan, ahead of production in the second half of next year. At Bald Mountain, production of approximately 41,000 ounces improved over the prior quarter as a result of higher heap leach stacking rates, as full mining activity ramped up considerably against the second quarter. At Round Mountain, production of approximately 64,000 ounces was higher over the prior quarter, with the milling of high grade oil from Phase W2. Costs at Round Mountain were better than initially planned due to favorable grades, stacking rates, and the timing of the leach inventory.  With that, I'll now pass the call over the Will.
Will Dunford: Thanks, Claude. I'll start by discussing Round Mountain and then provide updates at Curlew and Great Bear. As Paul mentioned, we have approved moving forward with mining at Phase S, securing meaningful production scale at Round Mountain through the end of the decade. As you will recall, we made the decision at the end of last year to defer the mining of Phase S, given our focus on ensuring strong economic margins and returns on our capital investments. Since that time, we've been working on optimizing the design and are pleased with the outcome of that work, which has yielded a lower strip, higher grade, and significantly lower CapEx plan. This was achieved by stepping in the pit design, removing higher strip lower margin ounces, and by identifying opportunities to add some near-surface, lower strip ounces earlier in the mine sequence to offset our stripping costs. This optimized design has yielded a high return resilient opportunity with a significantly lower CapEx that can now be funded by production at Round Mountain over the next two years and provide a bridge to our future underground opportunities.  To provide clarity around our mine plan sequence at Round Mountain, we are mining W2 now and we'll see similar production next year before W2 starts to taper off and Phase S starts to ramp up in 2025. By 2026, we will be at full production of Phase S, and will continue to produce through the end of the decade. We anticipate adding approximately 750,000 ounces of total production from Phase S. The combination of W2 and Phase S are expected to average production of 215,000 ounces annually over the 2024 to 2028 timeframe. As we continue to mine these open pit phases, we are focused on exploring and studying our higher grade, potentially higher margin underground opportunities at Phase X and Gold Hill. We see potential for Phase X to come online in late 2026 or early 2027, and Gold Hill to come online towards the end of the decade. The exploration decline at Phase X is progressing well, with approximately 1,000 meters developed to date, keeping us well on track to start definition drilling early next year. At Gold Hill, we will continue drilling in Q4 of this year and into next year.  Moving to Curlew in Washington State, in Q3 we intersected a new vein zone as we continue to follow the interpreted paleo surface to depth. You can see this intersection on the slide, hole 1168, which returned 14 meters at 16.5 grams per ton. While it is only one hole, this intercept is both wider and higher grade than our existing resource, which we can see on the slide higher up to the left. The existing resource averages just over six grams per ton and is generally narrow vein, offering potential to add production to our portfolio later in the decade. Exploration next year will focus on the wider and more continuous areas in our existing resource, and we'll follow up on the new zone of higher grade mineralization that we recently intersected.  Moving on to Great Bear, in Q3, we moved one of our six directional rigs across from LP to the Hinge Zone, which, as Paul indicated, results in the highest-grade intercept we have seen since acquiring the property, showing approximately 260 grams per ton at a mineable width of 2.8 meters. The Hinge Zone, which is classic Red Lake style mineralization, is approximately 700 meters away from the LP Zone, and we expect to be able to easily access it from our exploration decline, which will be located midway between the two. This high-grade intercept at approximately 870 meters vertical depth is about 600 meters below our inferred resource. Along with other drill results, this confirms our view that the Hinge Zone could provide additional high grade ore to supplement the LP Zone. In addition to the high grade intercept at Hinge, you can see on the slide our latest intercepts at the LP Zone, where the other drill rigs have been primarily focused. The directional drilling has increased the density of our intercepts at depth, allowing us to target a meaningful addition to the underground resource. We continue to see wide, high-grade mineralization, reinforcing our thesis that this system continues at depth and provides potential for a high productivity, long-life mine. We will be updating our resource estimate on the back of this drilling in our year-end update in February. In addition to the drilling campaign, we are advancing in two key areas at Great Bear, the AEX decline, through which we will be able to complete definition drilling and depth, and bulk sampling, and the main project, which includes the mine, mill, and related infrastructure required for production. For the AEX decline, feasibility level design and engineering is now complete. You can see the surface design for AEX here on this slide. Provincial permitting is on track and procurement for long lead items such as the camp, our infrastructure, and water treatment, is underway. Surface construction is planned for the second half of next year. For the main project, design and engineering is well underway. Baseline studies and fieldwork campaigns are also progressing well. Notably, we have progressed an extensive test work program of soil and overburdened geotechnical conditions to provide increased certainty as we progress the design of our project infrastructure. The recent bedrock geotechnical drilling has also continued to demonstrate competent ground and favorable rock characteristics for both the open pit and underground. Permitting work at the main project is ongoing. We expect to release a PEA in the second half of next year. In summary, we are excited by the continued success of our drilling campaign and by the progress we are making to bring this cornerstone project into production.  I'll now turn it back to Paul.
Paul Rollinson: Thanks, Will. In closing, we have delivered a strong third quarter and first nine months, and we are well on track to meet our annual guidance. Looking forward, we are excited about our future. We have a strong production profile. We are generating significant cashflow. We have an investment grade balance sheet. We have an attractive dividend. We have an exciting pipeline of opportunities, and we are very proud of our commitment to responsible mining that has made us a leader in ESG performance within the industry.  With that, Operator, I'd like to open up the line for questions.
Operator: [Operator instructions] Now our first question comes from the line of Ralph Profiti with Eight Capital. Please go ahead.
Ralph Profiti: Thanks very much, operator. Good morning, Paul. I'd just like to ask your team to elaborate a little bit on the stepping in of the pit design at Round Mountain to access and bring down that strip ratio. Just wondering, is this the result of increased confidence in some of the slope characteristics? And maybe can you just describe the work that's being done in that area, and potentially would be useful to have what impact that had on the overall strip ratio?
Paul Rollinson: Sure, Ralph, good morning. Thanks for the question. Yes, like the team has been heads down and got some really good optimization work in the last several months, and has come up with a really robust outcome. And I'll let Will speak in a little bit more technical detail to what we did here, what we're thinking differently.
Will Dunford: Yes, so we have done a lot of work on geotech in terms of just increasing our confidence, but we haven't changed the slope parameters that we're using. So, the overall slope angle is still similar to the old Phase S. really what it was, as you can see in the diagram on the slide, is just stepping in the back of it in areas where the strip ratio and the grade resulted in the lowest margin kind of increment of that kit. And at the same time, we managed to identify through drilling and some work by the technical teams, some opportunities to bring in some lower strip ratio material. So, that took our total strip ratio down from about 2.3 to 2.1 that you see in the press release.
Ralph Profiti: Got you. Okay. That's helpful.
Will Dunford: And the capital obviously moved out significantly.
Ralph Profiti: Yes. Thanks again. If I could switch to directional drilling at Great Bear, are you looking at going deeper and extending both the vertical and horizontal reach of that? And maybe you can elaborate a little bit more on where specifically you're targeting the areas for directional, and perhaps what also are the targeted depths.
Paul Rollinson: Sure. Yes, look, I mean, obviously the transition here, directional drilling has worked great for us, in part due to the competency of the rock. Not all material holds up to directional drilling. It's working really well for us here. And as we've said, it's become very cost effective in a way to increase density underground. But there are limits, and part of the transition here is to - is why we're looking to get that decline started and do more drilling underground as we get the decline advanced.
Will Dunford: Yes, so we have five rigs right now that are really focused on what we're overall calling the LP Zone, so that's Yuma, Yaro, are all kind of the key part of the ore body that we've drilled off. So, five out of the six directional drill rigs are primarily focusing between 500 and 1,000 meters there, where we're building out our resource. We are obviously, as you've seen in some of the drill highlights, we are doing some deeper drilling as well just to prove the thesis, but we're really focused on that 500 to 1,000 meter, because that's kind of the next decade of the mine plan, and we want to understand that as we design our infrastructure. We did, as we noted in the press release, take one rig in this quarter and take it across to the Hinge area. That's the higher-grade Red Lake style mineralization, and we've used that rig to drill out deeper as well there, and we're going to be trying to build out some resources there. Does that sufficiently - does that give you a good picture?
Ralph Profiti: Excellent answers. Thanks very much.
Operator: Our next question comes from a line of Anita Soni with CIBC World Markets. Please go ahead.
Anita Soni: Hi. Good morning, guys. Thanks for taking my question. So, I'm going to focus on the Round Mountain Phase S, and I see you've got a presentation or Slide 19 that gives a little bit more color on the production profile. But could you break out for me, because I went back to the reserves and resources last night and I couldn't really figure out exactly what was happening there, but what is the grades and tons for Phase S, and what's the grade and time left at W2? You can do it as of 2022 year-end, if that's useful
Will Dunford: As of 2022 year-end?
Anita Soni: Well, I'm assuming - I mean, the one that you've got public, right? I just need the breakout of the public resources.
Will Dunford: Oh, in terms of what's in Phase S, I believe it's around 800,000 ounce. Yes, so we've got around high eights, I believe, is what it is in the Phase S resource, close to nine. We can follow up with the exact rate.
Anita Soni: And the grade?
Will Dunford: The grade of Phase S in the resource.
Anita Soni: Well, the reserve ideally, because you said you put it in reserves, right, as of year-end 2022.
Will Dunford: Yes, I think it was in that close to 0.6 grand per ton range, but we'll follow up with the exact number. 
Paul Rollinson: It's a mixture of mill and leach. We can break that out, but probably closer to one on the mill and closer to 0.4 on the bleach, but in that ballpark. 
Will Dunford: Yes, it's sort about 0.8 and - yes, exactly. But we can follow up with what was in last year for the …
Anita Soni: Yes, definitely follow up because I didn't - that was more confusing, that answer was - sorry, I didn't - it wasn't clear. So, 0.8 on the mill and 0.4 on the leach, is that what it is in the reserve?
Will Dunford: The current grades for the mill at Phase S is 0.8 and the leach is 0.5, but we'll follow up on exactly what it was in the reserve last year, because obviously our current design is slightly different than that reserve.
Anita Soni: Yep. What I'm really trying to drive at is, how much of Phase W is left and what - like what are we remind - like when you - you’re showing us the incremental. I just need to know what the numbers are for the actual (crosstalk).
Will Dunford: We'll have about 150,000 ounce left at the beginning of next year in Phase W. That's in the ground, but obviously pending our final reserve update this year. There's also W3, which is still in reserve, which is a significant number of ounces. And overall, the site itself, excluding Phase S, just W and the leach inventory and some other cleanup areas, is about 400,000 ounces. So, we've got - if you're just looking at kind of Phase W, that's - plus the remaining leach tail, et cetera, that's about 400. About 150 of that is still in the ground at end of year. And then you've got an additional 750 coming on from what we've just released regarding Phase S. You've still got somewhere around 800, but final reserve will confirm, and Phase W3.
Anita Soni: Okay. So, I think we’ll probably take it offline, but could you tell us what the CapEx spend over 2024, 2025, like you've given us the overall lump sum, but mentioned that there's a deferral of capital that basically allowed this to be approved. So, I'm just wondering, what the cap, like the cadence of the cap, the 140 million or 170 million is.
Will Dunford: Like how it's broken down, are you asking?
Anita Soni: Yes. Every year, how much are you spending on Phase S? 
Will Dunford: Yes, we're spending 1 25 next year on Phase S in terms of capital. That's about 150 of initial cap capital, and another 10 of sustaining. And then in 2025, we'll be spending $60 million in capital.
Andrea Freeborough: I'll just add, Anita, that these numbers are sort of within the kind of billion dollar range of capital we've been talking about for total 2024. 
Paul Rollinson: Not incremental.
Andrea Freeborough: So, not incremental to what we've been talking about. 
Anita Soni: Yes, I mean, I took a stab at it last night to try to add this, but key pieces of information were missing. So, I sort of - I need those pieces to be able to give you the credit for it. So, and then moving to Great Bear, could you remind me, with the overall results that you've just delineated there, I mean, you said you're expecting an increase in reserves at the LP fault. Could you give us sort of a ballpark figure on what you think that you could be able to add with these results?
Paul Rollinson: All we've said, Anita, is, and we said it on the last call, as the directional drillings increase the density, we’re expecting to increase our resources at depth in the LP Zone, and we'll give an update at the end of the year. I think we kind of notionally directed towards at least 500,000 ounces. But as the work continues, the density of drilling continues. As you can see from the results, as we tighten up that drilling, that'll help support that increase in the underground resource. 
Anita Soni: Okay, thank you. Thanks for taking my questions.
Operator: Our next question comes from a line of Carey MacRury with Canaccord Genuity. Please go ahead.
Carey MacRury: Hi, good morning, guys. I'm just wondering if you could - it's good to see the uptick at throughput at Tasiast and La Coipa. Just wondering how those ramp-ups are going into Q4 and what sort of run rates you're seeing now?
Claude Schimper: Yes. So, Carey, at Tasiast, you've seen the increased throughput. We're focused on maintaining the deliverable towards the end of the year, with our progress towards 24,000 into the new year and full-year for next year. At La Coipa, we've steadily been improving both stacking rates and milling rates in the filtration piece. And October was a really good month for us at an average of over 13,000 tons a day. So, as Paul alluded to, we consider now both Tasiast and La Coipa projects complete as those mines now sustain their throughputs and build their mine plan around what's feasible for particular time of the year.
Carey MacRury: So, at Tasiast, should we be assuming something in the 21, 22 range for Q4?
Claude Schimper: Absolutely.
Carey MacRury: Okay, great. Then maybe just on the 2021 guidance, you're tracking kind of above the 2.1-million-ounce mark. just wonder if you could just - how should we think about Q4 in terms of like, which assets are going to come off of it and which ones are going to be stronger? Any guidance there would be helpful. 
Paul Rollinson: Yes, Carey, it's Paul here. Yes, good question. I mean, look, we're just reiterating our guidance here. We're solidly on track for guidance, certainly as it relates to production, probably going to be a little lower, probably in the lower half on cost and maybe in the upper half on CapEx. But our intention is to land on 2.1 as guided for the year. 
Claude Schimper: Carey, if I might add, just we did note in the call that Paracatu will be slightly down in the fourth quarter because where we are. We expect Tasiast to be on track. Fort Knox will be on track, and Round Mountain will also be a little bit down due to as - we head into the stacking in the winter months.
Carey MacRury: All right, great. Thank you very much.
Operator: Our next question comes from the line of Josh Wolfson with RBC Capital Markets. Please go ahead.
Josh Wolfson: Yes, thanks very much. I had a question regarding the implications of Phase S for Round Mountain, and I guess what it would mean for the existing three-year guidance that was issued. I guess part of it was addressed. I just want to maybe clarify a couple of things. On the production, there's been a number provided on average for a four or five-year period. I'm just wondering, is that production reasonable to expect over the next - over the two years outstanding for the three-year guidance? And then just going back to the capital, given that capital is tracking high this year, inflation is still present and then the new CapEx, are we still comfortable with that $1 billion target? I think there was this comment beforehand that suggested that. Thank you.
Will Dunford: Yes, you can see on Slide 19, we’ve given a bit of a guidance as to where the production moves at - with Phase S included into the plan. So, you can see that there isn't a - within the three-year guidance period we've provided, there's not a significant contribution yet from Phase S, and not one that moves the needle enough that we're changing guidance today. And you can also see that there's a bit of a dip. So, the 215 over the four-year period that we gave, obviously it's slightly variable. You can see next year, we're planning to be similar production scale to this year, and then dipping down in 2025 as we continue to pull off of the leaches and finish up at W2 and start to ramp up activities at Phase S. And then we'll recover that over 200,000 ounce mark in 2026 forward.
Andrea Freeborough: On the CapEx guidance. I did allude to that in an earlier comment, that we still expect to be somewhere around the $1 billion range in 2024, but I’d just caveat that by saying we're just in our budget process now, but we should be in a $1 billion neighborhood.
Josh Wolfson: Got it. Okay. And then for Manh Choh, just sort of addressing some of these media reports and legal items, is there any sort of timeframe we can expect to receive an update there?
Paul Rollinson: I think nothing more than what we've said really, Josh. I mean everything's on budget, on track. As we said in our remarks, we actually had a groundbreaking ceremony with the local community, the Governor of the State. Everything's in good shape and moving ahead. 
Josh Wolfson: Okay, that's good to hear. Thank you very much.
Operator: Our next question comes from the line of Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek: Good morning, everybody. That's me, I think. So, I just have a few questions if I could, just some follow-up. I'm going to start just on Round Mountain, again, this Phase S one, and I appreciate you giving us the Slide 19 to show us the production profile, but maybe from a high level when you said lower strip and that's going to help on the cost side, maybe directionally from a high level, what did improvements have you seen on cost? Is it 10%, 20%? Just directionally so we have an idea as best as we can with the information.
Will Dunford: Yes, it reduced about a third of our strip. So, it reduced about $80 million worth of kind of upfront CapEx cost as compared to what we were considering last year. And you can see in the table that what we see as the go-forward CapEx and some - what I outlined for Anita.
Tanya Jakusconek: Okay. 
Will Dunford: So, that is, that is down - CapEx is roughly down a third. You can see where it's at now.
Tanya Jakusconek: Yes, yes, no, I was just more focused on the operating costs, but yes, I saw the CapEx. 
Andrea Freeborough: On cash costs, Tanya, we are expecting cash costs for 2024 to be similar to this year and then - in 2025, and then Phase S will help lower those costs. 
Will Dunford: Yes.
Tanya Jakusconek: Okay. When you say, Andrea 2024 similar, are you meaning similar overall company in 2024 to 2023? And then are you just saying 2025 overall company, or is it just at Round Mountain?
Andrea Freeborough: I was referring to - yes, Round Mountain specifically. 
Tanya Jakusconek: Okay, perfect. 
Will Dunford: And the really positive thing, Tanya, is with that lower CapEx and the change in the strip ratio, although the cash cost will be staying similar over the next couple of years, there's actually enough free cashflow coming out of Phase W even at the 1850 that we kind of run our analysis at for this to fund the pre-strip of Phase S. So, fund to that 125 next year in this 60 to following year.
Tanya Jakusconek: Okay. thanks. And then my second question actually has to do with Great Bear and Curlew. So, just looking at Great Bear and just looking at the longitudinal and seeing that this drilling continues to go deeper and the grade continues to improve. And I appreciate, Paul, you said that - I thought in the last conference call, we said between half a million and a million ounces added to the resourcing for the underground. I'm just wondering if - because this grade is appearing to be better, obviously better grade is going to help this resource number. Are you thinking that we are going to be toward the upper end of that range?
Paul Rollinson: No, I think Tanya, we’ll stick with the highly confident on 500, and I'm expecting we'll do better, but I don't really - I don't want to speculate at this point. I think what's clear to me here is, this directional drilling is really filling in the panel. And what we've got here is a really attractive open pit, high grade open pit, which will have great cashflow. And now the underground, as was our thesis, is filling in quite nicely. So, we can kind of see phase one of the mine, followed by the underground, now starting to show that the Hinge limb, Red Lake style mineralization, continues at depth. So, we'll have a high-grade feed. It's all coming together really well. But the point I think we were trying to make is, the efficiency is great, but there comes a point where I'm not sure it makes a lot of sense to keep punching down below one kilometer. Everything is going full speed ahead with the decline. As we said, we expect to begin early works next year, and once we get the decline down, we'll do more definition drilling from there, as opposed to from surface.
Tanya Jakusconek: Yes, no, that makes sense. And maybe just, has your thought process changed? You're getting a lot of visible gold I see there in in the Slide 21, just changed at all on the capping factor that you're going to be using, has that changed at all? And just remind me how you've been thinking about these high-grade results and sort of what are we capping?
Paul Rollinson: Yes, I think you're good observation. We are seeing a lot of visible goals. My expectation is that that'll ultimately drive a positive reconciliation, but it's a Hollywood problem.
Tanya Jakusconek: Absolutely, at 260 grands per ton. Okay, maybe my last question, just if I could move on to Curlew. Can you just remind me what's our expectations? You got another good drill results again, higher grade that what you have the overall resource. Can you just remind me what we're expecting for year-end 2023 when you report your results in February?
Will Dunford: Yes, we are expecting to see an increase in our resource. Obviously, that's going to come out fairly shortly, but it is. We're hoping to be in that overall between inferred and indicated to be in around that million ounce mark, maybe a little bit higher. But obviously, February is where the work will come to fruition and give you a firm number of the increases that we've seen there. Obviously, that new drill hole, we're not expecting to have a resource around that by year-end. That's one hole at the bottom of the paleo surface there. So, that's going to take follow-up work at the end of this year and into next year before we can pull that into a resource.
Tanya Jakusconek: Okay. That's what I was trying to understand, whether that could be pulled in. Okay, so that one's not pulled in, but you are expecting an overall increase in the resource from the other lower grade holes that you have outlined there.
Will Dunford: Yes, we are. We've had some other good intercepts higher up in the in area of our resource, particularly around K5, which you can see on the page in the press release where we kind of have some of our better mineralization in the existing resource. So, we do expect a positive update on the resource there.
Tanya Jakusconek: Okay. Thank you so much. I'll leave it to someone else to ask questions. Appreciate you answering my questions.
Operator: Our next question comes from the line of Mike Parkin with National Bank. Please go ahead.
Mike Parkin: Thanks guys, and congrats on the salt quarter. Most of my questions have been answered. Just wondering if Phase S, having to build another pad, are you fully permitted for all that or is there any kind of permitting to kind of get completed to further de-risk that, optimize Phase S?
Will Dunford: No, we already have our federal permits for Phase S. There's no significant permitting that's required. The small expansion on our existing end pad that was already planned as part of the old Phase W work, so no hurdles in the way there.
Mike Parkin: And then just following up on Tanya's question on Curlew, you're targeting to be over a million ounces of total resource. Ultimately, is there an internal goal that you can share with us in terms in terms of scale of a resource that would kind of hit at a level where you might see the pulling of the trigger of a restart? Or is it just kind of too early and we'll just have to wait for, as these additional results continue to build the resource?
Will Dunford: I mean, I think as you've seen with what's progressed at Phase S, even just as an example over the last year and our focus on the underground at Phase S, we're really focused on margins as a company and making sure we have a strong return on our investments. So, it's not necessarily just a total ounces number. It is - there's a lot of opportunity along that paleo surface. It's really about making sure that we can make money on the width and the grades that we're coming through with the resource and we get the right mine design around it. So, that's where the focus is, and the PFS is really around the mine design and optimizing the cashflow on an annual basis that we can get out of it. There's no doubt there's long-term potential from a resource perspective, but we need to make it cashflow.
Mike Parkin: And have the results have proven kind of - any kind of comment in terms of management expectations? Are you finding the drill results are proving in line, a little better than what you kind of thought when you've been expanding these zones?
Will Dunford: Yes, I mean, obviously our drilling is targeted to expand in the better areas. That's really what we focused on this year. And we have seen some extensions in K5, but it is quite early. Just to wrap it up, I think it's - we do need to follow up on some of these really, really strong grades and wins. But we need to continue to do our work, and we'll have more information, I think, next year as we complete our PFS.
Paul Rollinson: I think the key point here, our thesis was tracing that paleo line, and that's gone very well. We had a thesis that the mineralization would basically follow that paleo line, and it has. We're getting good results. This last spectacular result was ironically the last hole of the drill campaign this season. It's a good way to end the program. Very exciting, but we've got more work to do. 
Mike Parkin: Okay. Well, looking forward to more results from there. Thanks guys.
Operator: There are no further questions at this time. I would now like to turn the call over to Paul Rollinson for closing remarks.
Paul Rollinson: Thank you, operator, and thanks, everyone, for joining us this morning. I understand it might be a busy morning out there, so appreciate your time and your questions, and we look forward to catching up with you in person in the coming weeks. Thank you.
Operator: I'd like to thank our speakers for today's presentation, and thank you all for joining us. This now concludes today's call, and you may now disconnect.